Operator: Good day and welcome to the Smith Micro Third Quarter 2021 Earnings Conference Call. All participants will be in a listen-only mode. [Operator Instructions] After today’s presentation, there will be an opportunity to ask questions. [Operator Instructions] Please note, this event is being recorded. I would now like to turn the conference over to Charles Messman, Vice President of Investor Relations and Corporate Development. Please go ahead.
Charles Messman: Thank you, operator and good afternoon everyone. We appreciate you joining us today as we discuss Smith Micro's financial results for the third quarter of 2021 ended September 30th, 2021. By now, you should have received a copy of the press release with the financial results. If you do not have a copy and would like one, please visit the Investor Relations section of our website at www.smithmicro.com. On today's call, we have Bill Smith, Chairman of the Board, President, and Chief Executive Officer of Smith Micro; Michael Fox, Interim Vice President of Finance; and Jim Kempton, our new CFO who joined November 3rd, 2021. Please note that some of the information you will hear during our discussion today consist of forward-looking statements, including, without limitations, those regarding the company's future revenue and profitability, our future plans, new product development, new and expanded market opportunities, future product developments, migration, and/or growth by new and existing customers, operating expense, company cash reserves, and expected impact of our recently completed acquisition on our business strategy, operation, and financial position going forward. Forward-looking statements involve risks and uncertainties, which could cause actual results or trends to differ materially from those expressed or implied by our forward-looking statements. For more information, please refer to the risk factors included in our recent filed Form 10-K and the final prospective filed with respect to our recent public offering. Smith Micro assumes no obligation to update any forward-looking statements, which speak to our management's beliefs and assumptions only as of the date they are made. I'd like to point out that in our forthcoming prepared remarks, we will refer to certain non-GAAP financial measures. Please refer to our press release disseminated earlier today for a reconciliation of these non-GAAP financial measures. That said, I'll turn the call over to Bill. Bill?
Bill Smith: Thanks Charlie and good afternoon everyone. Thank you for joining us today for our third quarter 2021 earnings call. Our third quarter was very busy for us on several fronts. I am pleased with the overall progress and the significant milestones we achieved since our last earnings call. Firstly, I'm excited to announce that we have come to an agreement with T-Mobile U.S. on commercial terms for FamilyMode 3, which is powered by our SafePath platform. As we are all aware, coming to this agreement took much longer than we originally expected due to multiple delays outside of our control. Unfortunately, these things tend to happen when two giant corporations like T-Mobile and Sprint merge. I am very pleased with the team for getting the agreement done. We are now looking forward to the launch of FamilyMode 3, which will soon start driving revenue for Smith Micro. There are several other T-Mobile-related activities that I will discuss later in the call. On the AT&T front, I am delighted with the progress we've made working closely with their team to build a plan to fuel new subscriber growth for their Secure Family app. We are developing a plan to launch AT&T on our SafePath platform before the end of 2022. During his remarks, Mike will provide more specifics on the earnout related to the AT&T contract. I expect to see great opportunity ahead with AT&T in the coming quarters. We also danced on several fronts with Verizon, which became the first Tier 1 carrier in U.S. to launch driver monitoring functionality as part of a family safety offering. Working with Verizon and our technology partner CMT, we were able to launch the first major new family safety feature since our acquisition of the Avast Family Safety business. We also launched new marketing efforts to promote Verizon Smart Family during the quarter As we continue to drive new subscriber growth for the app. This was all accomplished while we continue to plan to merge the existing Smart Family user base onto the SafePath platform. Our vision goes far beyond offering just a white-label Family Safety application. We strive to provide a comprehensive solution for the family's entire digital lifestyle, including the smart home and the consumer Internet of Things, two markets that are in the infancy stage of their lifecycles. We're particularly focused on the digital lifestyle strategy because it would increase the total addressable market for our carriers and would generate more revenue opportunities for Smith Micro. Now, let's take a look at the financial results for the third quarter. Revenue came in at $16.4 million compared to $12.6 million for the same quarter last year, a 30% increase. Revenue when viewed on a quarter-over-quarter basis increased approximately $524,000. Non-GAAP net loss for the quarter was $258,000, which equates to $0.00 per share or breakeven. Our cash balance at the end of the quarter was $32.4 million, a subsequent earnout paid to Avast for the AT&T contract occurred after the end of the quarter. Okay, let's now turn the call over to Mike who served as our Interim CFO during the third quarter for a more in-depth analysis of the third quarter financials, Mike?
Michael Fox: Thanks Bill and good afternoon everyone. As you know, we acquired the Avast Family Safety Mobile business in the second quarter, which impacts the period-over-period comparisons that I'll be covering today. As such, I'll also be highlighting the sequential changes to provide some additional context on our quarterly results. Now, let's cover the financial details of the third quarter. For the quarter, we posted revenue of $16.4 million compared to $12.6 million for the same quarter last year, an increase of 30%. When compared to the second quarter of 2021, revenue was up 3%. For the third quarter year-to-date, revenue was $43.7 million compared to $38.9 million last year, an increase of 13%. During the third quarter of 2021, our Family Safety revenue inclusive of SafePath and the Avast Family Safety Mobile business increased 77% to $12 million compared to the third quarter of last year and increased 8% sequentially compared to the second quarter of 2021. This increase was slightly lower than our expectations communicated last quarter as the T-Mobile agreement that Bill touched on at the start of our call was not executed until this month, which was later than we had anticipated. That being said we are very excited to have reached a commercial agreement with T-Mobile and look forward to the new version of FamilyMode launching on our SafePath platform. The increase in Family Safety revenue was primarily related to the Avast Family Safety Mobile business acquisition that was completed in Q2 of this year. This increase was offset by the continued reduction of SafePath platform revenue related to declining legacy Sprint subscribers. As a reminder, all current marketing initiatives are only focused on T-Mobile branded products and not the Sprint branded products. In the upcoming quarter, based on the current subscriber trends through October, which include our newly acquired Family Safety products, we expect Family Safety revenue to be flat to 5% up compared to the third quarter. During the third quarter of 2021, CommSuite platform revenue was $3.5 million, which was down 24% from the third quarter of last year. Compared to the second quarter of 2021, CommSuite revenue decreased 12% and was lower than expected to a -- great due to a greater number of legacy Sprint VDM subscribers leaving the platform during the quarter. This was partially offset by better-than-expected advertising revenue for the CommSuite platform. Regarding the continuing wind down of our legacy CommSuite-based service of Sprint, we now have more clarity and are beginning to see subscriber loss accelerate, which will impact fourth quarter CommSuite revenue. This acceleration is driven by subscribers having the option to move from Sprint to the T-Mobile Network for voice services. As more and more subscribers transition off of the Sprint network, CommSuite-related revenues will continue to decline. We anticipate this revenue decline to continue to accelerate during the fourth quarter of 2021. As a result, we currently expect CommSuite revenue to be down 30% to 35%, compared to the third quarter of 2021. We currently expect this deployment to reach end-of-life sometime the middle of next year. Boost Mobile, formerly owned by Sprint and now part of DISH comprises approximately 35% of the CommSuite platform revenue. We are working towards expanding our strategic relationship with DISH in the future and we'll aim to grow the number of subscribers both at Boost and at DISH using our CommSuite platform for premium visual voicemail services. As a reminder, DISH is currently in the process of rolling out its Greenfield 5G network, with a goal of covering 70% of the U.S. population by June 2023. ViewSpot revenue was approximately $971,000 for the third quarter of 2021, up 19% when compared to the second quarter of 2021. This increase was higher than our expectations communicated last quarter and was primarily related to a higher volume of variable revenue with our Tier 1 U.S. customer. Based on our current outlook, we expect ViewSpot revenues in the fourth quarter to be lower by 20% to 25% compared to the third quarter. This decrease is primarily related to lower variable revenue activity expected in the fourth quarter due to seasonality associated with this revenue stream. For the fourth quarter of 2021, we expect overall consolidated revenue to be lower by approximately 5% to 10% compared to the third quarter of 2021. For the third quarter, gross profit was $12.8 million compared to $11.3 million during the same period last year. Gross margin was 78% for the third quarter compared to 90% last year. Our longer term goal for gross margin continues to be 90%. To achieve this goal, we will continue to work through the newly acquired Avast Family Safety Mobile business as we merge third-party application and service contracts and execute on other costs energy opportunities. In the short-term, we expect gross margin to be near this current run rate. For the year-to-date period ended September 30th, 2021, gross profit was $35.1 million, which was consistent with $35.1 million during the corresponding period last year. Gross margin was 80% for the September 30th, 2021 year-to-date period. GAAP operating expense for the third quarter was $31.2 million, an increase of $20.1 million or 181% compared to last year. When compared to the second quarter of 2021, GAAP operating expense during the third quarter increased sequentially by 76%. GAAP operating expense for the year-to-date period ended September 30th, 2021 was $62.1 million, an increase of $30.5 million or 97% compared to last year. The increase in the GAAP operating expense for the year-to-date period ended September 30th, 2021 compared to last year is primarily related to a charge of $12.9 million due to the change in fair value of contingent consideration related to the Avast acquisition; an increase of $1.4 million for compensation and employee related expenses, primarily related to the acquisition, as headcount increased 47% year-over-year, resulting in 377 employees at the end of the third quarter compared to 257 at the end of the third quarter in 2020; an increase in amortization of $5.7 million, primarily driven by the Avast acquisition; an increase in acquisition costs of $700,000; CFO transition cost of $143,000; and costs related to the acquisition of certain non-development intellectual property of $1 million. Non-GAAP operating expense for the third quarter was $12.9 million, an increase of $3.4 million or 36% compared to last year, driven primarily by the acquisition. On a sequential basis, the third quarter non-GAAP operating expenses were 12,000 or 1% lower than the second quarter of 2021. Non-GAAP operating expense for the third quarter year-to-date was $34.9 million, an increase of $8.7 million or 33% compared to last year, also primarily driven by the addition of the Avast business. For the fourth quarter of 2021, we expect consolidated non-GAAP operating expenses to be approximately 2% to 4% higher than the third quarter. The increase is mostly related to additional sales and marketing expenses, as we support family safety revenue and overall preparation for new expected product launches. The non-GAAP net loss for the third quarter was $258,000 or breakeven from an EPS perspective compared to a non-GAAP net income of $1.8 million or $0.04 diluted earnings per share last year. The non-GAAP net income for the year-to-date was $139,000 or breakeven from an EPS perspective compared to a non-GAAP net income of $9 million or $0.21 diluted earnings per share last year. Within the recently issued press release, we have provided a reconciliation of our non-GAAP metrics to the most comparable GAAP metric. For the third quarter, the reconciliation includes the following adjustments, some of which are non-cash items. Stock compensation expense of $1.3 million, intangibles amortization of $3 million, CFO transition costs of $143,000, the change in the fair value of contingent consideration of $12.9 million for the Avast acquisition resulting from the AT&T contract renewal, and costs related to the acquisition of certain non-development intellectual property of $1 million. For the year-to-date period ended September 30th, 2021, the reconciliation includes the following adjustments, some of which are non-cash items. Stock compensation expense of $3.6 million, intangibles amortization of $8 million, CFO transition costs of $143,000, acquisition-related costs of $14.5 million, which includes the previously discussed $12.9 million change in fair value of contingent consideration and costs related to the acquisition of certain non-development intellectual property of $1 million. The company is currently working on the formal Avast Family Safety Mobile business purchase price allocation. During the second and third quarters, we made estimates to allocate the purchase price among intangible assets, goodwill, and estimated amortization expense. In the fourth quarter of 2021, these amounts will be adjusted to match the final purchase price allocation. The GAAP tax expense is due to certain state and foreign income taxes. For non-GAAP purposes, we utilize the 0% tax rate for 2021 and 2020. Any resulting non-GAAP tax expense really reflects the actual income taxes expense during each period. From a balance sheet perspective, we reported $32.4 million of cash and cash equivalents as of September 30th, 2021. As Bill mentioned earlier, we have subsequently paid the remaining portion of the earnout to Avast in the amount of $12.9 million, which positions us to grow our Family Safety solutions with this major carrier. This concludes my financial review. Now, back to Bill.
Bill Smith: Thanks Mike. As I stated earlier, I'm happy to report that we have finally reached a commercial agreement with T-Mobile U.S. regarding the future of FamilyMode. The new agreement is in line with what we expected and I want to thank everyone on this call, and all Smith Micro investors for their patience as we work through this process with one of our largest customers. When we started negotiations last year, we expected T-Mobile's merger with Sprint to cause some deep delays. It goes without saying that I'm incredibly glad to have the contract negotiations behind us. I look forward to shifting our focus to the launch of FamilyMode 3. As a reminder, the current legacy version of FamilyMode is powered by the Circle code base and provides parental control functionality, such as screen time limits, digital rewards, and scheduled screen-free times. Location controls do not exist the legacy product. FamilyMode 3 will be based on SafePath 7 and will provide T-Mobile subscribers with extended family safety functionality, such as real-time location tracking and breadcrumbs, configurable safety areas, and location-based alerts in addition to strong parental controls. While we are still in discussions with our customer regarding launch timing, we expect that T-Mobile will launch and begin marketing FamilyMode 3 as early as possible in Q1 2022. Through our extensive discussions with the carrier, we have also begun to get more clarity regarding the subscriber migration and end-of-life timing of some of the other legacy Family Safety apps that we continue to support. During the third quarter, we have four different Family Safety apps with the T-Mobile and Sprint. Last month, at T-Mobile's request, we discontinued the older Sprint Family Locator app, that was one of the legacy Avast products we acquired. As you may recall, when we acquired Avast, we gave no value to the legacy products. So, this should not come as a surprise. The shutdown of the Sprint Family Locator will have a short-term revenue impact in the fourth quarter and the first quarter of 2022. But as overall Family Safety revenues grow, the impact of this event will be minimal. With the three remaining apps, our shared goal with T-Mobile is to migrate their user bases, which are larger and integrated into the carrier's billing system over to the SafePath-based FamilyMode 3 product. As we roll out FamilyMode 3, supported by strong integrated marketing efforts, I'm confident that we will start to see a return to real growth in 2022. We have an aggressive plan in place and are quite eager to get going. This has been in the works for such a long time, but we're finally here. Now let's talk about our second major Family Safety customer, Verizon Wireless. In Q3, we worked with Verizon to successfully launch the latest version of their Smart Family app. This app update was notable and that included Driver Safety Monitoring functionality, making Verizon the first Tier 1 carrier to include this feature set as a carrier-branded family safety app. The driving safety features now included in all Smart Family premium subscriptions include driver behavior monitoring, collision detection, automatic alerts, as well as personalized driver scores for each member of the family. Our marketing team in collaboration with Verizon launched new digital marketing initiative during the third quarter to raise awareness of this new feature set with Verizon subscribers. In addition to digital efforts, we are working closely with the carrier on some retail-based campaigns to promote Smart Family and most of Verizon's corporate-owned retail stores. These initiatives are in the final planning stages and I expect them to come to fruition sometime this quarter or early Q1 2022. To close out my Verizon updates, I'm happy to report that we have aligned with the carrier on how and when Smart Family users will migrate over to our SafePath code base. While we're still working out the details, we believe that this effort will begin shortly with completion slated well before the end of 2022. As I shared during our last investor call, we were able to retain AT&T as a Family Safety customer after the initial expectation that the business would be winding down. Mike already discussed the short-term financial ramifications of the earnout allow me to provide a bit more perspective on what I see as a very positive long-term growth opportunity for Smith Micro. Put simply, I wouldn't have allowed to earnout without confidence from AT&T Executives that they are committed to investing in, and growing the subscriber base of their Secure Family app. Over the past few months, I've had several very productive discussions with the highest level of leadership at AT&T regarding growth strategies for Secure Family, particularly around how our platform expands the total addressable market and delivers a full digital lifestyle experience to the subscriber base. Our team is also working on a detailed migration plan to transition the current Secure Family user base to the SafePath platform. I believe the growth potential here is immense. Like several of the other Family Safety deployments we have acquired in the past two years, Secure Family has suffered from a lack of marketing support. Now that AT&T appears committed to investing in the growth of the Secure Family subscriber base going forward, I expect and I am confident that we can drive significant new user acquisition once we get the marketing engine going next year. Moving on to our voice messaging platform, CommSuite, we continue to engage in the contract discussions with America's newest Tier 1 operator DISH Wireless. While we understand that the approval process involves multiple factors, some of which are out of our control, we remain optimistic that we will have an opportunity to launch CommSuite-powered premium visual voicemail and voice to text services at DISH sometime in 2022. Regarding the legacy visual voicemail service still used by some Sprint subscribers, we have more clarity on timing and now expect this legacy service to continue to accelerate to an end-of-life. Right now our best guess is that sometime in the third quarter of 2022, most of the subscribers will have migrated to T-Mobile's network and off of our CommSuite platform. This accelerated migration began in the beginning of September. So, there was a revenue impact to our Q3 numbers and Q4 will be the first quarter to reflect a full quarter impact. As we have seen historically, end-of-life migrations can take a very long time at wireless carriers, but this timing reflects our best estimate based on what we know today. Nevertheless, I'm excited with a DISH opportunity ahead and still believe the product has legs for Smith Micro. DISH continues to build out its Greenfield 5G network on a national scale. While this unenviable task will certainly take time, the carrier should start growing postpaid subscribers soon, which would increase the total addressable market for constantly powered premium visual voicemail services. Now, let's talk a bit about our Smart Family platform, ViewSpot. We made some great development progress on the product during the first three quarters of 2021, especially in terms of enhancing the utility and usability of ViewSpot Studio, the platform's backend management dashboard. Features such as predefined device profiles, bulk management of device plan pricing information, as well as the ability to test and preview new promo experiences prior to deployment, provides carriers with powerful capabilities to streamline their retail operations. The curated digitally-rich experience set ViewSpot enables provides wireless carriers with a competitive advantage by making it easier and faster to create, deploy, and remotely manage these digital retail experiences. ViewSpot Studio enables carriers to take these experiences to the next level. There are several new activities underway around our ViewSpot platform and as these evolve, we look forward to sharing our progress. As you can see, we have been extremely focused and hardworking over the past few months and I'm most proud and excited about the progress we've made. The next chapter of the Smith Micro growth story is just beginning. The Smith Micro now having the three largest Tier 1 carriers in the U.S., among our customers, selling the best Family Safety platform to their large subscriber bases is an exciting opportunity. Our goal, a goal supported by our customers, is to build a subscriber base in the millions at each of these important Tier 1 carriers. Remember that family subs are viewed as the highest quality subs by carriers, as historically they churn far less and are willing to grow ARPU much faster than other demographic groups. With that said, I'll open the call up for questions. Operator?
Operator: We will now begin the question-and-answer session. [Operator Instructions] The first question comes from Scott Searle with ROTH Capital. Please go ahead.
Scott Searle: Hey, good afternoon. Thanks for taking my questions and congratulations on getting T-Mobile across the finish line. Maybe to start just, Bill, if you could calibrate us in terms of what's the magnitude of the Family Locator app that goes away? And then in terms of FamilyMode 3 launching, you start with that Circle base? So, is that going to be a quick switchover we should expect in the first quarter? And what's the timing then that we should expect with Phase 2 starting to convert over the larger Sprint SafePath base?
Bill Smith: Okay, let's take those in couple of different steps then. So, the Family Locator app was the legacy app at Sprint. Its base has continued to dwindle. The impacts will be felt for the -- in the fourth quarter and we will get approximately a full month of revenue, we'll lose to two months. And so we'll be looking at about $0.5 million drop in revenue driven off of that. As far as with the launch of FamilyMode 3, I think you'll see that it'll be a very smooth transition from the Circle code base over to SafePath 7. And as I said, I think it'll happen as soon as possible in the first quarter of 2022. As far as for the Sprint Safe and Found, we will also be transitioning Sprint Safe and Found to SafePath 7 as a second instance of SafePath and that will happen mid part of the first quarter of 2022. The remaining legacy product from Avast at T-Mobile, we are in the planning stages, we don't have a date or timing set for that as yet.
Scott Searle: Hey Bill but just to clarify so the majority of the existing SafePath subscriber base at Sprint will convert over -- or will be turned on at some point in the first quarter, is that that what you just said?
Bill Smith: The Sprint Safe and Found base will then move over to SafePath 7 as well, it will be a second instance of SafePath 7 and our goal will be to just smoothly transition all those folks over. We will also work to make it possible that those people can stay on the Sprint billing system or transition to the T-Mobile billing system. That will stop the melting ice cube syndrome that we've dealt since the merger.
Scott Searle: Great. Perfect. Then one more question if I could. Verizon, it sounds like you're starting to have some pretty good level of engagement with them -- both within the organization and some marketing dollars. I'm wondering if you could provide a little bit of color in terms of how you expect that growth and that rollout to happen over the course of 2022? And maybe if you could as well address if there are any pricing issues there, how you're feeling about the opportunity with Verizon in general going into 2022? Thanks.
Bill Smith: I think that Verizon offers us a great growth opportunity. We see the opportunity to substantially grow the overall installed base and discussions with Executives at Verizon, we are talking about this, we are developing a joint goal that we will all march to. And we are looking for very large, large growth over 2022 and into 2023 and beyond. So, we see this as being an extreme growth opportunity. So, we're very bullish on what's happening in Verizon. And your primary takeaway is we're very bullish at the growth opportunities at all three of these U.S. Tier 1 carriers. Clearly, we will continue to sell and focus on growing the Family Safety business outside of the U.S. But while we're focused today on just getting these three carriers up and running on SafePath 7, and it's very clear that there's great growth potential going forward.
Scott Searle: Great. Thank you.
Operator: The next question comes from Eric Martinuzzi with Lake Street. Please go ahead.
Eric Martinuzzi: My congratulations on the T-Mobile contract as well. I wanted to dive in a little bit deeper. I know one of the reasons that the Sprint program was so successful was the retail buy-in, just curious to know one of the reasons that the T-Mobile agreement had been delayed, I think was in part due to some personnel changes at T-Mobile as far as the folks that were in charge of the program? As that stabilized and then can you talk to the level of aggression or how aggressive they are going to be marketing this as far as digital, in-store, what are the early leading indicators? So, people first and then marketing?
Bill Smith: Yes, I guess I would look at it this this way. I think we have a very strong team on the T-Mobile side today. I'm very, very happy with the people that have come on board. And I think they are very much committed to growing this business. So, all that I think is very, very positive.  Look, the T-Mobile folks also have a number of former Sprint people, they know how Sprint was -- grew their base and grew it very successfully. And clearly, I don't think any of the positive things that Sprint did are lost. So, I would look forward to seeing that kind of momentum and growth build up over time at T-Mobile post launch of FamilyMode 3. So, I feel very, very, very positive about that. I also mentioned in my prepared comments that we're making some strong progress at Verizon Wireless. Also on bringing the SafePath offering into their retail stores because we know that the retail stores offer us a really strong opportunity to grow the size of the user base. So, I think you're seeing a lot of the things that we've learned over the years being applied now evenly to all three of these large Tier 1 carriers.
Eric Martinuzzi: Okay, and then for those of us modeling at home, I had -- in the absence of an outlook from you guys, I had sort of modeled in Family Safety dropping. What sort of -- the legacy business, I guess, sort of dropping here in Q1, and then kind of flattish in Q2, and then really kind of a back half step up. So, I know things -- you sound like flipping a light switch with T-Mobile, you hammer out the contract and what was it November of 2021? You lean into the marketing efforts in January of 2022. But there's -- back half of 2022 step-up make sense to you Q3 up from q2 or is that still potentially too aggressive, given some of the other puts and takes in the revenue?
Charles Messman: Hey, Eric, I think that's fair. That's kind of high -- we'd love to see how it rolls out over time. But I think that's kind of a good way to look at an over -- high overview.
Eric Martinuzzi: Okay. All right, thanks for taking my question.
Operator: The next question comes from Josh Nichols with B. Riley. Please go ahead.
Josh Nichols: Yes, thanks for taking my question and congratulations on getting that commercial agreement with T-Mobile. I know the team has worked exceptionally hard on that for a long time now. You mentioned that the agreement was in line with what you kind of had expected, is that to assume at a high level that this is kind of similar to the Sprint model, where it's like a monthly ARPU that you guys receive or some revenue share with T-Mobile without diving too much into specifics.
Bill Smith: Yes, I think that's the way you should think about it. It looks very strong for us.
Josh Nichols: And then, I was curious. So, you're doing a lot of business with Verizon, it's good to see the additional traction there. Is that sub base kind of like, growing as it is today? Or what's the expectations for that, as we look out over the next couple of quarters and your enhanced engagement now with SafePath drive?
Josh Nichols: Well, okay, that's really two different questions. The launch of the of the drive capabilities, is a first and I think it's been well received. We are doing a lot of work with the folks at Verizon, to try to get that message out and get it out in a very clear and concise manner. And we do look for growth in their premium service offering as a result of the fact that they are offering drive. So, as far as the overall growth -- if you look at the number of family subs at each of the three Tier 1 carriers here in the U.S. There are millions of subs there and we are just getting to the point where we're starting to think about how we're going to get millions of subs onto the Family Safety. I think this is a very doable thing. I think this is the goal that all of us need to set for ourselves. And that's what we're operating towards, obviously, the revenues will follow.
Charles Messman: Yes, I think the other thing too, is, like you said, we don't want to get specific on each individual customer, we have to watch that. So, I think what you'll see as a whole of all of them, rhat's our goal to get all of them growing, Josh. Hopefully that helps?
Josh Nichols: Yes, it does. And then just for clarification, I mean, for the CommSuite business, so that's going to be running off to mid-next year. But is it fair to assume that you're going to be keeping -- if Boost was 35% of sales and effectively the other 65% or so of revenue, it's going to be what's running off? Not all of it, you're going to be keeping the Boost portion which is actually growing, right?
Bill Smith: Yes, we will keep the Boost portion and then as the postpaid dish offering comes to the marketplace, that will provide yet another opportunity to grow the size of the CommSuite user base. So, that's where the upside opportunity exist.
Josh Nichols: Thanks. And then last question for me. I mean, you talked about some joint marketing initiatives, I guess is your understanding that this is something that T-Mobile is going to be investing heavily? And I think -- I know, Sprint did a very good job as far as training up their sales people and whatnot and that was a big driver of the sales growth. Is it the expectation that something will happen with T-Mobile as well, they're going to put their marketing weight behind it significantly?
Charles Messman: Yes, so I think that -- Josh, yes, we're all very excited. We've working on this for quite some time. So, I think it's fair to say that we have a very strong plan in place. I think it's important to note that there are several people from the Sprint as part of this team and so we're actually quite excited about it.
Josh Nichols: Thanks guys. I'll hope back in the queue.
Operator: The next question comes from Jim McIlree with Dawson James. Please go ahead.
Jim McIlree: Yes, thank you and hello, everyone. Can you talk a little bit about what the expenses you're going to have to maintain in order to keep CommSuite going at a lower revenue level? How that -- how you're going to address expenses there?
Bill Smith: Well, the expense load for CommSuite. Is, is very, very low. Right, right now, so I think you'll see it just get pushed down slightly as we move forward, and we'll rationalize it based on the business opportunity that's presented by the overall DISH offering.
Jim McIlree: Okay, that's helpful. Thank you. And then when will all of your business -- all of your Family Safety business be on the SafePath 7 platform? Is that something that that is complete by the end of next year or does it go into 2023?
Bill Smith: As I said on the last quarterly conference call, our goal is to have all of our customers over to Safe Path 7 by the end of 2022. That renames the course that we're operating under. And this clearly the big heavy lift is to get the three large U.S. Tier 1 carriers over first, and then move to Europe and bring some of those additional customers over, you know, in the latter part of 2022. But our goal is to be unified on a single code base for Family Safety going into 2023.
Jim McIlree: Okay, great. And then looking at the rest of the world, it seems like you're busy through next year, servicing the domestic carriers, does that push any customer wins in Europe or the rest of the world into late 2022 or early 2023? Or is that -- do you still have -- do you still have to work at maintaining the U.S. customer base -- working on U.S. customer base before you start thinking about significant wins in the rest of the world?
Bill Smith: Well, look, I think we're just following the cash. And the cash right now, the big opportunity are the three Tier 1s here in the U.S. But there are other significant customer opportunities, one at Vodafone that we talked about as a result of the Avast acquisition in the Czech Republic, as well as at [indiscernible] in Italy, which is part of the Hutchinson Group, noth are using the Avast code base. Now, they will be like migrated to SafePath before the end of 2022. We have other opportunities that we're working on and as those become to a point where we can make some public disclosure, we will do so. We are continuing to sell and to grow our base, but clearly as you're following where the big revenue opportunities are you, we're talking about millions of subs at each one of the large Tier 1 carriers here in the U.S., that's where our focuses. And that's where the cash is right now. The others will follow and be additive.
Jim McIlree: All right. That's it for me. Thanks a lot.
Operator: This concludes our question-and-answer session. I would like to turn the conference back over to Charles Messman for any closing remarks.
Charles Messman: I want to thank everybody for joining us today. Should you have any further questions, please feel free to reach out to us directly. We're also participating in a ROTH Conference next week. So, if you're there, we'll look forward to talking to you. And we'll look forward to talking on our next earnings call. Everybody, have a great day. Thank you.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.